Operator: Hello and welcome to the second quarter earnings conference call for Amphenol Corporation. (Operator Instructions) I would now like to introduce today's conference host, Ms. Diana Reardon.
Diana Reardon: Good afternoon. My name's Diana Reardon, and I'm Amphenol's CFO. I'm here together with Martin Loeffler, our Executive Chairman, and Adam Norwitt, our CEO, and we'd like to welcome you all to our second quarter call. Q2 results were released this morning. I will provide some financial commentary on the quarter, and Martin and Adam will give an overview of the business and current trends. We'll then have a question-and-answer session. The company achieved second quarter results that met the high end of guidance. Sales for the quarter were $685 million, down 19% in US dollars and 16% in local currencies over the second quarter of 2008. Compared to Q1 2009, sales were up 4% in US dollars and 3% in local currencies. From an organic standpoint, excluding acquisitions and currency, sales in Q2 of ’09 were down 21% compared with sales in the prior year and down 1% from the prior quarter—a strong performance in a difficult economic environment. Breaking down sales into our two major components, our cable business which comprised 9% of our sales, was up 10% from last year and down 16% in US dollars and 11% in local currencies from last year, reflecting a slowdown in spending particularly in international broadband cable television market resulting from the weak economic conditions. The interconnect business which comprised 91% of our sales was down 19% compared to last year and up 3% sequentially. We experienced year over year declines resulting from low end-market demand in most markets; however, we also realized sequential improvements in the majority of our markets in Q2. We continue to believe that the company’s performance benefits from its market diversity and the strength of its technology. Adam will comment further on trends by market in a few minutes. Operating income for the quarter was $115 million, compared to $168 million last year. Operating margin was 16.9% compared to 19.9% last year. Operating income is net of stock option expense of approximately $5.2 million or 0.8% of sales in Q2 of ’09 compared to $4 million or 0.5% of sales in Q2 of ’08. From a segment standpoint, our cable margins were 15.8%, up from 11.5% last year. The margin improvement is the result of the positive impact of lower material costs and operational cost reduction actions which more than offset the impact of lower sales volume compared to the prior year. In the interconnect business, margins were 19.3% compared to 22.3% last year. The achievement of these strong margins given the current economic environment and reduced volume levels is a significant accomplishment. Our operating units continue to react quickly and appropriately to current demand level and continue to adjust all elements of costs in a proactive fashion. In this regard, during the quarter in addition to actions taken relative to procurement and material usage, the company reduced overall headcount by approximately 6%. Overall, we are very pleased with the company’s operating margin achievement of 16.9% in the quarter and believe that the company entrepreneurial operating structure and culture of cost control will continue to allow us to react in a fast and flexible manner to preserve strong profitability going forward. Interest expense for the quarter was $9.1 million compared to $9.9 million last year. The decrease from the prior relates primarily to lower average rates in the 2009 quarter. Other expense was $400,000 compared to income of $134,000 in the second quarter of 2008. Other expense is comprised primarily of bank fees, fees on the company's receivable securitization program, and interest income. The company had an effective tax rate of 27.5% in Q2 of 2009, compared to 29% in the second quarter of 2008 and a rate of 27.5% for the full year of 2008. We currently expect a tax rate of 27.5% for the third quarter of 2009. Net income was $75 million in the quarter, approximately 11% of sales—a very strong performance on any industry comparative basis particularly in the current environment. Diluted earnings per share in the quarter were $0.43, down 30% from last year. Orders for the quarter were $666 million, a book-to-bill ratio of approximately 0.97 to 1. The lower book-to-bill ratio in the quarter relates lower order levels in the mil-aero and industrial markets due primarily to lower distribution demand as well as seasonally softer orders from Q3 shipments in North America and Europe. Order levels in other markets were at or above sales levels. The company continues to be an excellent generator of cash. Cash flow from operations was $142 million in Q2. Cash from operations was reduced by approximately $12 million as the company lowered the amount of receivables sold under its securitization program. Cash flow from operations was used for capital expenditures of $14 million, acquisition-related expenditures of $10 million relating to prior deals, repayment of borrowings under the company’s revolving credit facility of $51 million, dividend payments of $3 million, and an increase in cash on hand. In addition to its strong operating cash flow and cash investments of approximately $221 million, the company has additional liquidity in the form of availability under its $1 billion revolving credit facility, which expires in 2011. Availability under this facility was $186 million at the end June. The company continues to have more than sufficient liquidity to meet its needs. Borrowings under the facility were $814 million at the end of June of which $650 million are swapped to fixed rate through December 2009 and July 2010. The remaining borrowings are at a spread over LIBOR. The company also has a $100 receivable securitization program that expires in May 2010, under which $79 million in receivables were sold at the end of June. Fees on receivables sold are at a spread over commercial paper rates. The company had a very strong performance from a balance sheet perspective in the quarter which contributed to our cash flow. Days sales outstanding improved 2 days from previous levels. In addition, the company’s continued focus on inventory resulted in a further inventory reduction in the quarter. Inventory decreased 6% from Q1 levels. Excluding acquisition impact, inventory is now 16% from the end of the year. Inventory days decreased to 83 days from 93 days at the end of March. We’re quite pleased to have further reduced inventory in the quarter and to have returned from an inventory days perspective to a level that’s comparable to our achievement at the end of the third quarter of 2008. Debt was $821 million at the end of June, down from $871 million at the end of March and up from $786 million at the end of the year. The increase in debt from year end relates primarily to funding a portion of the acquisition completed in the first quarter. The company’s leverage and interest coverage ratios remain very strong at 1.3 times and 16 times respectively, and EBITDA in the quarter was approximately $147 million. From a financial perspective, we continue to be very pleased with the strength of the company's execution in a difficult environment. Adam and Martin will now comment on the business.
Martin Loeffler: As Diana just outlined, Amphenol continued to execute well in the second quarter. We are particularly pleased with maintaining our industry-leading profitability and very strong cash flow considering the current low demand levels in the market. I’d like to very briefly reemphasize and summarize the strategies behind the successful performance that we had during this economic downturn—actually strategies that we employed in all business cycles that has made Amphenol very successful. First and foremost, Amphenol has and continues to have a very entrepreneurial management style and a very agile organization that is able to respond and to react very quickly to changing market conditions. That certainly has driven and maintained strong profitability for the company. It is our strategy to remain very close to our customers to gain preferred supplier relationships at all levels of our customer’s organization, not only to have access to the volume they have available to us but also to work on the future opportunity with these customers. It is our strategy to develop performance enhancing technologies to create value for our customers—again a strong driver for our profitability. It is our strategy to relentlessly scrutinize all elements of cost to achieve superior margins. It is our strategy to diversify in markets, products, and geography to lower risks and increase our opportunities around the globe, and it is our strategy to complement the company’s strength with acquisitions that have the potential to flourish within Amphenol and to have a growth potential which is superior than normal organic growth within the family. With these strategies, Amphenol has been successful throughout the last three quarters of this very severe downturn that we have seen and very confident to emerge as a stronger company from this slow cycle here as we have seen some stabilization, and we’re very confident to grow as business resumes into the future. Adam is now going to talk more about the trends in our business and our achievements in the various market segments.
Adam Norwitt: The second quarter was a very good quarter for Amphenol, considering the ongoing challenges in the economic environment, albeit an environment which to us shows sometimes stabilization. While revenues were down 19% from the prior year, we were able to increase our sales sequentially in most of our served markets—a clear indication of the benefits of our diversification and the leading technology that we produced for our customers. We were especially pleased to achieve strong 16.9% operating margin, with excellent earnings and cash flow coming from those earnings, which is a reflection of the strength of our agile organization and that entrepreneurial management team that Martin mentioned. With that, I’d like to turn to some of the trends and the progress that we have in the served markets. The military and aerospace market represented 24% of our sales in the quarter. Sales in that market decreased 7% from the prior year, with declines in sales related to delays in commercial aircraft production somewhat offset by moderate acquisition related growth in the military business. We continue to see that distributors and certain OEM customers in the aerospace market remain cautious in placing long lead-time orders ahead of firm governmental funding decisions. We stay close to those customers to continue to make sure that we are well positioned when those orders do come in. We are optimistic that our broad program participation together with the ever-increasing electronic content in military aerospace equipment will drive performance despite any potential shifts in governmental defense funding priority. While we do expect that demand may be seasonally moderated in the third quarter, the long-term outlook for Amphenol for the military aerospace market remains strong. The industrial market represented 9% of our sales in the quarter, and sales in that market decreased 38% from the prior year with continued sequential declines. We continue to experience a broad moderation of demand in many segments of the industrial market related to the general economic slowdown and in particular the slowdown of activity in infrastructure spending. Nevertheless, we’re making excellent progress in exciting areas of the industrial market, including most notably alternative energy and rail mass transit. While we believe that the overall industrial market continues to be and will continue to be impacted by the general economic slowdown, we do expect that these growth segments can help us to build momentum into the future in the industrial market. The automotive market represented 6% of our sales in the quarter, and sales declined 37% from prior year. Nevertheless, we did experience a rebound from low production levels in the first quarter with sales in the automotive market increasing a very strong 24% sequentially in the second quarter. While we have seen some growth in vehicle production volumes, we believe it is still too soon to predict at levels such volumes will stabilize. The near-term outlook is certainly for stabilized demand, although there may even be some pockets of strength tied to specific government inventive programs. Nevertheless, we continue to be encouraged by the longer term outlook in the automotive market due to increased electronics in automobiles and our strong position in the new hybrid electric vehicle platforms which we expect to be released over the coming years. In the broadband market, we saw sales decrease 14% from the prior year with reductions in particular in international markets. That market which now represents now 10% of our sales did experience a strengthening in demand seasonally in the second quarter, with sales increasing 10% versus the first quarter. We continue to have leading relationships with cable systems operations and an increasing broad portfolio of value-add interconnect products, both of which position us very well for the future in the exciting broadband market. We expect the broadband market to further improve seasonally in the third quarter. The information technology and data communications market represented 19% of our sales in the quarter. Sales in that market decreased 33% from prior year due to the ongoing reduced IT investment and continued inventory reductions in the supply chain. Nevertheless, we did experience some stabilization of demand in the IT market, particularly towards the end of the second quarter, with sales up slightly from the first quarter tied especially to carrier-related equipment and growth in server platforms. We remain very excited by our ongoing new program wins which continue regardless of the business cycle based upon our new and advanced technologies. These new program wins position us very strongly for growth in the coming years, and we foresee that there should be growth in this market in the third quarter. The mobile networks market represented 16% of our sales in the quarter. Sales decreased 12% from prior year period. In the first quarter, we experienced the benefits of the China third generation network buildout which did not continue significantly into the second quarter. However, our strong performance in support of OEM customers and wireless operators during these urgent build-out has positioned us very well for future phases of investment, whether they be in China, India, or other exciting emerging market. Longer term, we see that we will continue to benefit from demand in site installations, especially in those emerging markets, as well as from our broad presence with a broad product portfolio on high volume next generation equipment platforms. For the third quarter, we expect demand to continue essentially at current levels. The mobile devices market represented 16% of our sales in the quarter. Sales increased a very strong 2% over prior year in a market with significantly declining unit volumes. This reflects the strength of our leading technologies across the broadest portfolio of customers and phone models. Demand was impacted by reductions in end-user demand as well as ongoing inventory adjustments but was offset by growth of our innovative new products augmented by expansion of our position with key OEMs. We expect stable demand in the third quarter with potentially some slight improvements as phone makers prepare for 3G related as well as holiday demand. In summary, with respect to the second quarter, I am very proud of our organization as we have continued to execute well and outperform the industry with excellent financial strength in an extremely challenging demand environment. We believe at Amphenol and our entire management team believes that 2009 creates for us a tremendous opportunity for our company to expand our position in the interconnect market. In this current environment, our distinct competitive advantages serve us very well. Our leading technology, the increasing position with customers in diversified markets, our worldwide presence, a very lean and flexible cost structure, and most importantly an agile, dynamic, and entrepreneurial management team. Now relative to our outlook for the third quarter, based on stable exchange rates as well as some degree of seasonal moderation that we expect in the third quarter, we now expect the following results. We expect sales to be in the range of $670 million to $685 million, and earnings per share to be in the range of $0.41 to $0.43. Even in the current economic environment which continues to have challenges, we are confident in the ability of our outstanding organization to achieve superior performance, as we continue to take necessary actions to preserve and grow our strong profitability as well as to capitalize on the ever-expanding opportunities to grow our market position. With that, operator, we would be very happy to entertain any questions if there may be at this time.
Operator: (Operator Instructions) Your first question comes from Amit Daryanani - RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: Adam, I am looking at the press release. You guys talked about stabilization in the market. I think historically September quarter has been flat to up a little bit versus we’re talking about down 1% at the mid point. Can you just talk maybe beyond just being conservative if there is something from some of the end-markets that’s driving the sales down sequentially?
Adam Norwitt: Amit, as I mentioned, we believe that there is some seasonality in the third quarter in those markets where we have traditionally in the past seen seasonality, especially the military aerospace and industrial markets which tend to be more North American and European focused. In those markets, we certainly see seasonality. I think Diana mentioned as well that the books to bill in those markets we saw was not positive in the second quarter, which really led us to believe that we would see that traditional seasonality. I think in the other markets as well where you would normally see an uptick, for examples in the mobile phone market, we don’t necessarily that there will be the same significance of positive seasonality in such a market.
Amit Daryanani - RBC Capital Markets: Adam, the cash generation was really again this quarter. Your cash balance, at least when I look at historically, has only once been higher than the $221 million we’re sitting on this quarter. Given that things are starting to stabilize, is the buildup in cash just a sign of keeping some gunpowder dry for acquisitions in the back half or how should we be looking at that?
Adam Norwitt: I think we’re always keeping our eye out for acquisitions, and we continue to have an acquisition pipeline that we manage very diligently and aggressively. It doesn’t mean necessarily that there would be one in the third quarter, and I think as we’ve always said it’s impossible to predict the timing for those acquisitions. I think Diana and her team manage our cash very carefully, and we’re very proud of the cash generation in the quarter, and this is really outstanding cash flow generation in the second quarter--$142 million nearly double our net income, and this came from an ongoing focus throughout the corporation on working capital management in addition to really having our earnings show real cash from those earnings. So I think we’re very proud of that. It’s not a change in how we manage our cash balances. It’s really rather a reflection that it was a very, very strong performance in the quarter.
Operator: Your next question comes from the line of Amitabh Passi – UBS. Amitabh Passi - UBS My first set of questions has to do with margins. Diana, incremental gross margins in the quarter were a little lower than I would have anticipated, and I am just wondering is that sort of a function of likely under-absorption of fixed costs as you likely continue to work down inventories, or are you seeing some incremental pricing pressure? We are beginning to hear from some OEMs of increased pricing and margin pressures, so just wondering if any of that is percolating into your business.
Diana Reardon : I’ll let Adam comment on pricing, but if you’re talking from a sequential standpoint, I think when we look from an organic standpoint the sales were essentially flat quarter to quarter. There is some positive impact from a translation standpoint, and we had some incremental sales in the automotive market and some acquisition impact, so I think from a conversion standpoint given those trends, one shouldn’t expect us to be achieving really anything much higher than what you see in the second quarter results.
Adam Norwitt: I think one thing to emphasize here is these were really outstanding profitability results. When you consider the last 9 months what has happened in the business, to maintain these margins, we’re very proud, and I think this has come through ongoing efforts. Diana mentioned the headcount reduction in the second quarter. We have essentially over the last 9 months reduced our headcount by 21%, at the same time as our revenue is essentially down by that same amount from the peak in Q3 of last year. So I think there has been a tremendous effort to maintain these margins. Now relative to pricing, certainly we keep our ear close to ground and our fingers close to the customers to understand what’s happening there. I wouldn’t say that we have seen any wholesale changes in pricing behavior, but we’re very sensitive to it, and how we react is that we are being very proactive to make sure that we can maintain margins even with pricing pressure from some competitors which we certainly have started to see some of. So we will stay very close to pricing. We will look for discipline around all of our competitors, and we will still be very disciplined on pricing, but we will be prepared in the event that we need to secure certain business. We will be very prepared based on keeping our costs down.
Operator: Your next question comes from the line of Carter Shoop - Deutsche Bank Securities.
Carter Shoop - Deutsche Bank Securities:  Can you discuss how many employees were terminated in the second quarter?
Adam Norwitt: It was about 6% of our headcount, so somewhere around 1500 people.
Carter Shoop - Deutsche Bank Securities: In regards to margins and the acquisition last quarter of Times Microwave, do you have a sense on what that did on a sequential basis to your Q2 operating margins? Was that a little bit of a drag?
Diana Reardon : We don’t really talk about specifically about the profitability of the acquisitions. What I would say is we did have again a small amount of some acquisition-related costs like we had last quarter that are in our headquarters line in our segment reporting, but other than that, I wouldn’t say that there was any significant impact of that.
Operator: Your next question comes from the line of Ron Fisher – US Steel.
Ron Fisher – US Steel: I wanted to return to the acquisition question from before. You have a pipeline, but I’m just wondering is there a difference between bid and ask or you’re not seeing the kinds of properties that you want. You certainly have the dry powder to do something, so what has been going on and what do you see going on in terms of acquisitions looking ahead?
Adam Norwitt: We manage our acquisition pipeline in a very systematic way which is that we stay close to entrepreneurs and the owners of these companies, and I would say that it’s not necessarily a question of price as much as it’s a question of getting the right companies and the willingness of those owners or sellers to sell. What we have seen is that there are certain larger companies in the industry who are owned, for example, by private equity or other sponsors, and they may or may not have a desire to sell in a recession because of the timing and the market multiple. At the same time, we have seen that entrepreneurs of certain smaller companies find that the Amphenol story is very compelling in a time like this, where we see that time and time again in a business cycle Amphenol has been able to maintain its operating margin, to not go through sort of radical restructuring which could really kill an acquisition post joining of the company. That can become a very compelling story in the short term and in the long terms for entrepreneurs, and we certainly see that the receptiveness of people to talk to us about acquisitions grows in a time like this where they resiliency of our company, but the timing of these is always impossible to drive. You cannot push it. It comes when it comes because you always are dealing with a seller who has to make a decision at the end of the day.
Operator: Your next question comes from the line of Sunil Gathader – Sentinel Investments.
Sunil Gathader – Sentinel Investments:  If you assume that the demand recovers back, recovers sharply, the current restructuring that you have done, is it going to become an obstacle for supplying in the market place or it’s likely not to be?
Adam Norwitt: I think we don’t see that would be an obstacle. Amphenol has always been run with a culture of having more flexibility in our organization so that we can prosper in good times as well as in bad, and so we have seen in our company many micro cycles that happen even in good times with certain operations and certain businesses, and they are always being adjusted to the appropriate levels, and if volume does as we certainly will hope to happen come back, we are very well poised and positioned to come back, and because we take the opportunity during this time where we are reducing resources to sometimes take away some resources which weren’t performing as well, we would expect that when things come back that we would perform even better.
Sunil Gathader – Sentinel Investments: My question was also on the mobile devices side. You said that you increased your sequential year over year growth rate by about 2% in a declining market volume. Does that imply that you had market share in the sector, and also when you look in the shape of the growth if has happens, if there is any macroeconomic recovery, how do you view what the shape of the growth for you as a company might be, better than what it was in the last cycle or tend to grow in line with the market because generally I think the connector market grows around 8% or so on an average, so could you just help us understand how you are thinking about it?
Adam Norwitt:
Operator: The next question comes from the line of Jeff Beach with Stifel Nicolaus. Your line is open.
Jeff Beach – Stifel Nicolaus: I have two quick questions. First on the excellent cable margin you had, you mentioned it was helped by lower cost inputs. Looking out into the second half and even further, you think you can maintain your pricing versus cost and hold this better margin that you’re starting to achieve?
Adam Norwitt: I think we are very pleased with the margins that we have achieved in the cable segment, and I think that has come not because of raw materials but also it has come because of our excellent efforts around the company to reduce our overhead and to reduce our cost. We certainly look in this market for discipline and certainly will be disciplined on our front, and we expect that there will be discipline among the other participants in this market, and with that discipline, we would fully expect that we can continue to drive ourselves to have superior performance.
Jeff Beach – Stifel Nicolaus: Times Microwave is a larger acquisition than many. How long will it take to fully integrate and is there some moderate or meaningful margin expansion as you fully integrate the operations?
Adam Norwitt: I think it’s true. Times microwave was somewhat a larger acquisition. It certainly wasn’t our largest, and the acquisition of TCS was a bigger one, but Times is very significant. What’s important to understand about our acquisition philosophy is we do not seek to “integrate” acquisitions in the more traditional sense of the word. What we seek to do with acquisitions is to open up opportunities, and we open up opportunities both on the market side as well as on the cost side by working with existing management, with their existing customer base, existing resources, to move their technologies into new areas and oftentimes also to take some of our existing technologies into their own areas of strength, so from an integration standpoint, I would tell you that it was integrated essentially the day after closing from an Amphenol definition of integration. Do we see potential in that business long-term? Absolutely, else we wouldn’t have acquired the company, and we certainly hope to see great potential with Times Microware which we’re very pleased with that acquisition as well as with the team that joined us in that acquisition.
Operator: The next question comes from the line of Vincent Demasco – Colony Group.
Vincent Demasco – Colony Group: My question following up from Sunil’s is with the 21% workforce reduction, can you characterize maybe the breakdown of fixed or variable, or presuming that the recovery takes hold, how many of those employees would indeed have to be brought back to support demand?
Adam Norwitt: I think it’s very hard say now without just picking a random number because we don’t know what a recovery would be, when that recovery would be. What I can tell you is that when we reduced headcount in the company, we are just not taking out direct labor. We are taking our indirect salary, and we view that when the business is down by 21%, you have to go back to a point in time when you had such a size of business and you have to create that resource base in the company, and that’s across the board, and so we’re taking out really those people in all the functions across the company. What will have to come back at the time that there is some revitalization in the markets, we will judge that at the time based on what the degree is, where that is coming, what geographies it is coming, what markets it is coming in, all of that will really impact our decision about how you would rebuild that infrastructure, but we don’t have a concern that that infrastructure would be difficult to revamp at the time, and there is good potential with that for a good conversion. As I mentioned earlier, we take the opportunity when we’re making such reductions to take out costs that should maybe taken out anyway.
Vincent Demasco – Colony Group: So would you say the lion’s share of th reductions made were more on the cost of goods side or on the SG&A side?
Adam Norwitt: I think we’ve made reductions in all areas. I wouldn’t say exactly which is which.
Operator: Your next question comes from the line of Shawn Harrison - Longbow Research.
Shawn Harrison - Longbow Research: I was hoping to talk a little bit about the military market. It sounds like right now distributors and customers are somewhat unwilling to place orders for longer lead-time products. Do you think that dynamic as we get into the fiscal 2010 government budget year for the military goes away and you could see more normalized dynamics?
Adam Norwitt: Personally, I think that the order tendencies in the military aerospace market you may see some sort of a shift because of these changes. Whether they will come back to placing longer lead-time orders or not for us is really not so important. I think our organizations are ready to execute regardless of the lead times. We’ve done an outstanding job over the last 9 months of reducing our lead time, so that we can support these more urgent needs. You see with the various programs that get announced, they announce the program, they announce the award, and they want the deliveries to start right away. We’ve seen this, for example, in the military vehicle programs that have been recently announced, and so I think we’re very well positioned regardless of whether military supply chain customers revert back to the more traditional long lead times or maybe they migrate slowly towards order patterns that we see more typically in other markets. For us, it’s really not important, but clearly what we have seen and one of the drivers of that negative book to bill that we saw in the market has been this kind of change in the buying patters. Whether that change goes away or stays permanent. To us, it’s not so relevant, but it may indeed be permanent.
Shawn Harrison - Longbow Research: Regarding your expanded RF portfolio, maybe you can just quickly highlight how you potentially would be able to cross sell those products with your existing portfolio that you had before the acquisition of Times and how that would lead to market share gains as we look at say the next 12 to 18 months.
Adam Norwitt: You talk here about radio frequency or RF, and we are very proud at Amphenol to be world leader in RF technology. It goes back really to the very first RF connector which was invented by an Amphenol engineer back in World War II, and since that time, we have always been very focused on this as a core underlying technology of Amphenol, and the acquisition of TMS is really so complementary to that with their strong leadership in certain areas of RF technology in the aerospace. We have a leading position in RF essentially in all of the major markets where RF is used whether that be in the wireless infrastructure market, whether that be in internet-related hardware, industrial, and especially now with TMS in the aerospace market. It is a point for us which is a tremendous value creator for the company, and it allows us with customers to present a suite of products in addition to RF which is a broad and the broadest product offering because RF tends to be more of a niche product in many cases where customers are buying from niche suppliers and the fact that they can now come to Amphenol for a more complete solution especially in that military aerospace market, we already see signs that that has a great receptivity from the customers, so we’re very pleased with that, and we are very optimistic and very fortunate to have such a broad RF portfolio.
Operator: The next question comes from the line of Jason Brueschke - Citigroup.
Jason Brueschke - Citigroup: Just maybe a little more of a pointed question or way to pose the gross margin question. Do you believe that the inventory burn you’ve seen over the last couple of quarters has created a drag on your gross margins and if so, given a stable demand environment, when would you expect to done with the environment burn?
Diana Reardon: I think clearly production levels in fully integrated manufacturing facilities have some impact on margin, and clearly all production facilities have some level of fixed cost, so I think certainly from both a theoretical and practical standpoint when you have lower volumes and are you’re taking inventory down, yes it has some impact on margin. At this time point, we have been able to achieve inventory days that in the low 80s which really was our goal. Whether we have some inventory reductions following what we were able to achieve in Q2 and Q3, I think we’ll work to keep days at least at that level if not push them down more. I think it’s a little bit hard to talk about impacts on margins. At this point, we’ve given guidance for the quarter. The high end is flat, so I think that that inherent in that guidance are margins that are comparable to what we’ve just achieved in the quarter, and I think as Adam has said a few times on the call we consider these margins to be extremely strong and are continually working through cost reduction actions to be able to maintain those margins at these levels of volume. I think at the point that volume starts to increase, we would expect to be able to achieve the conversion goals that we’ve had in the past in the company consistently for a long time, and that’s 25% conversion margin on incremental sales, but in order for us to be able to achieve those goals, the volume component will certainly be an important factor.
Jason Brueschke - Citigroup: I have a couple of quick questions on the demand front. I understand that the military is going to go ahead and deploy some new MRAP vehicles. I wanted to know if you have any content in those vehicles and what the timing of any rollouts on that might be and then just expectations on the 3G build-out in China. It sounds like 2Q wasn’t much there, 3Q not much there, but it seems listening to some of the semi-suppliers that 4Q may see some incremental demand, and I was wondering if you have visibility out that far.
Adam Norwitt: Relative to the military vehicle what’s now referred to as MATV, it is the latest generation, smaller MRAP that is being used and deployed in Afghanistan. I think everybody is probably aware that there was an announcement awarding the program, and we certainly have content and have had content with all of the players. As usual in these circumstances we are not heavily vested in one or another who is going to win such a program. We try to make sure that we have strong position and leadership position across all the participants who are bidding for a program like this, and that has certainly been the case here with MATV. Of course, once that award is made, we will certainly try to even further grow our position in that, and we think this can be a very strong program for Amphenol in the future. Relative to 3G build-out, it is correct, we saw a tremendous amount of demand in the first quarter, and I wanted to emphasize one thing. This 3G build-out in China was very significant for us in the first quarter, and we were able to satisfy demand of our customers with a level of speed that even they did not anticipate. This demand came quite suddenly after the Chinese New Year which would have been mid February timeframe, and our factories, our staff, our engineers were poised and ready to capture that business, and we did just a fabulous job to service all our OEM and operator customers in a timeframe actually that even surpassed our own expectations, and that led actually to having somewhat less demand for us in the second quarter when maybe they would have been others who weren’t so quick to respond to the demand who could have still experienced demand. Now what will happen with China 3G for the remainder of the year I think is very hard to say at this point. We certainly saw the announcement a couple of days ago relative to the next TDS CDMA contract, and we will stay very close to those customers to make sure that we have good position. What I know is that because of our performance in the first quarter on behalf of all of these customers, we are very well positioned that at the time that the next 3G bid or build-out or construction happens in China, we will really be the first phone call for those customers, and we will have if anything a broader presence on those platforms than we had before because they need suppliers who can respond quickly with good quality, with strong technology, and really have a broad portfolio products, and we proved that we could do that in the first quarter, and I’m confident that when it comes around again, we will be there again for those customers.
Operator: The next question comes from the line of Steven Fox with CLSA.
Steven Fox – CLSA: Just going to the distribution situation, can you give us any kind of sense on how much you think the sell-in is different from the sellout at these small distributors, and when do you think they will be at what they would consider more reasonable inventory levels going forward and you’ll be shipping to true demand?
Adam Norwitt: I think we certainly in the fourth quarter of last year and the first quarter of this year, we saw that the distributors were quite aggressively drawing down their inventory. At the same time, I think that the OEM customers of those distributors have also been drawing down their inventories and have been reducing their lead times as I discussed relative especially to the aerospace market, so we have seen actually that gap between what you would term the sell-in and the sell-through has diminished and it may even be the case that we’re seeing largely the sell-in and the sell-through be similar at this point, but it doesn’t mean that demand upon those distributors has necessarily strengthened, and I think we have seen also because of our execution capabilities that we are able to respond with shorter lead times, and in some cases, even there are OEMs who because of that come directly to us, and we monitor it very carefully. We’re very close to our distributors, very close to all of them, regardless of big or small, and we will continue to monitor to make sure that we are able to capture all those orders that they bring to us.
Steven Fox – CLSA: In terms of the auto restocking that you referenced, what kind of indications are you getting from your auto customers about the under supplier? How long could you see restocking build go on, etc.?
Adam Norwitt: I think it really is region by region. We certainly saw in the second quarter the some of the impact from I think the English term for it is cash for clunkers. There’s a German term which sounds very similar as cash for clunkers where there was significant stimulus money spent especially in Germany, France, and Italy, and that continues to be ongoing. There is some question relative to what has been the real impact of these stimulus programs, have they created replacement demand or have they created new demand, and there are some data points that would tell that the average age of some of the buyers in the cash for clunker is much lower than normal which would tell you maybe there has been even some new demand created, so what that means in terms of future volumes, what it means in terms of the US volumes where there is a somewhat smaller than German program for cash for clunkers is being discussed, we really don’t have a good read on that today. I think inventories in certain geographies are still very high. If you look in the United States, the US car markers, they don’t have low inventory today. The inventories are quite a bit lower in Europe, and whether that will be rebuild or whether they will just continue to supply on an ongoing basis, we will stay close to it, but I couldn’t tell you exactly what will happen.
Operator: The next question comes from the line of William Stein with Credit Suisse. Your line is open.
William Stein – Credit Suisse: I would like to just dig into the wireless infrastructure segment for a moment if I can where you have products that are targeted both to equipment OEMs and also the carriers. Can you talk a bit about where you see relative strength or weakness between those two and where the company tends to be better positioned?
Adam Norwitt: I think we’re very well positioned in both, and I wouldn’t say that either OEMs or carriers have a different dynamic. The different dynamic between OEM and carrier is really one of geography, which is that the carrier or the OEMs are not as geographically based, so you are shipping to the dozen or so companies that are out there, and they are based in their own certain geographies, and you don’t always have a perfect read from them as to where that base station ends up going, and so it’s a little bit less susceptible to the geographical variations. On the carrier side, you’re dealing with a carrier in a certain geography, and so to the extent that there is strength in that geography, then you would certainly see a pickup from such a customer, but relative to our position, we have an excellent portfolio of products in both of those segments. On the OEM side, we have essentially the broadest portfolio of interconnect product in every one of our technologies whether it be fiberoptics, whether it be RF as was mentioned earlier, data, power products, and on the carrier side, we have a strong suite of interconnect products as well as base station antennas which really has a tremendous leading edge technology combined with a very cost effective solution, so we feel very good about both of those markets and our position in both of those markets, and again because of that service that we have shown to customers that we can deliver, we believe that we are well positioned going forward when there are these incremental spikes in demand.
William Stein – Credit Suisse: You mentioned a bit about strength in automotive for cash for clunkers and that’s a stimulus program. Are you seeing the effects of other government stimulus packages? Do you anticipate any of that helping demand in the next quarter or two?
Adam Norwitt: I wouldn’t say we have seen anything else that has such a tangible impact. Certainly we monitor these stimulus programs very carefully. On area of that which we are keeping very close to is relative to alternative energy and hybrid electric vehicles where there seems to be money flowing, for example, to battery technology and certain geographies. There seems to be money flowing towards construction of alterative energy facilities, and there Amphenol has a very strong technology base, and we’re growing our position with great focus throughout the company in those markets. Now in general, do you see the shovel ready industrial demand that it’s creating? I think our numbers in industrial would show you that we haven’t seen anything very specific there. Are we hopeful that something would come? Certainly, we are very hopeful for that. It doesn’t seem that these proverbial bridges and tunnels and roads have launched as quickly as some of the other stimulus that we would hope. We will keep very close to that. I think our position in the industrial market for heavy equipment and others is a very strong position, and we are very mindful that if there was certainly a spike, we would be ready as we have really taken a lot of efforts over the last several years to enhance our competitiveness in those industrial products through significant investments in China, upgrades in our technology, and we are very well positioned in that industrial market to the extent that it comes back, and if that comes back through stimulus, that would be even better.
Operator: The next question comes from the line of Mat Sheerin with Thomas Weisel. Your line is open.
Matt Sheerin – Thomas Weisel: On your commentary about mobile devices being flattish when it’s normally up seasonally, do you think there is an inventory issues with those customers or are they just being conservative given the macro environment, and how are you positioned within the different segments low end, smartphones and mid range?
Adam Norwitt: I think our guidance for that market is not so materially different than the guidance that was given by the market leader also this morning. We gave ours concurrently, so I think we kind of matched a little bit our feelings about that market. I think our position in the market on various phones is very strong across the board. We have strong position in low end phones, mid range phones, and an excellent position but leading technologies on smartphones which still continues to grow. The smartphone volume in the second quarter appear to have grown by 10% while the rest of the market in unit volumes was maybe down by more than 10%, so the work that we have done to position ourselves across multiple platforms and across these categories has been very successful. Even on a low end phone, there is a thirst among the customers for good technology which is a technology that cannot necessarily create functionality but one which can create cost advantage, and so we have worked very hard in those and see great receptiveness from customers.
Matt Sheerin – Thomas Weisel: My second question is just going back to your commentary about cost cutting and operating leverage, obviously you are around $200 million lower revenue run rate a quarter, but as we think about going through the cycle and getting back to the revenue run rate you were at a year ago, would we expect margins to actually be better than they were given your costs are so low now?
Diana Reardon: I think we would all be happy to get back to the margin that we were at last year at those volume levels. We keep a very variable cost structure. We take cost down when it’s appropriate to lower volumes. Obviously we would add some of those costs back as volume would move up towards where they were last year, but I think that the profitability we’ve achieved at these low volume levels is very strong. I think the conversion margin goals that we have of 25% which we would expect to be able to achieve as volume starts to come back would get us back to even stronger levels of ROS at higher volume levels, and I think that’s what should be expected.
Operator: The next question comes from the line of Amitabh Passi with UBS.
Amitabh Passi – UBS: I just had one last question Adam for you, a big picture question. You have been fairly aggressive in rightsizing your business based on end-market demand trends, and some of your larger competitors have taken similar actions. I’m just curious as you look across the industry as a whole, are you seeing the industry as a whole being fairly aggressive and swift in terms of rightsizing the businesses or are there still concerns that there might be quite bit of extra capacity? I guess generally how do you view this whole supply-demand balance and the notion of excess capacity?
Adam Norwitt: I think everybody will do what they feel is appropriate. We certainly run our own business in a way that says that we are going to take our costs down rapidly. When we take costs down, it doesn’t necessarily mean that we are taking “capacity down.” We are not decommissioning factories, we’re not putting machinery in closets or trying to sell it in scrap markets. We continue to have that kind of dry powder if we needed to come back. What others are doing, I don’t try to stay so close to know what’s in their heads in terms of that. I think when you talk about supply-demand, you really talk about price, and I mentioned earlier that we are very sensitive to pricing moves of our competition, and we believe that through very aggressive and proactive cost measures that we have taken that we are prepared in the event that there were a lot more irrational pricing movement from our competition, and we will be ready for that if we need to be, but we will be very disciplined on price regardless of any supply-demand imbalances. Thank you all very much. We once again appreciate all your interest in the company and wish a very pleasant rest of the summer and a pleasant third quarter.